Operator: Good day, and welcome to the Republic Services' First Quarter 2022 Investor Conference Call. Republic Services is traded on the New York Stock Exchange under the symbol RSG. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask question. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Stacey Mathews, Vice President of Investor Relations. Please go ahead.
Stacey Mathews: Hello. I would like to welcome everyone to Republic Services' first quarter 2022 conference call. Jon Vander Ark, our Chief Executive Officer; and Brian DelGhiaccio, our Chief Financial Officer, are joining me as we discuss our performance. I would like to take a moment to remind everyone that some of the information we discuss on today's call contains forward-looking statements, which involve risks and uncertainties and may be materially different from actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations. The material that we discuss today is time sensitive. If in the future, you listen to a rebroadcast or recording of this conference call, you should be sensitive to the date of the original call, which is May 5th, 2022. Please note that this call is the property of Republic Services, Inc. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Republic Services is strictly prohibited. I want to point out that our SEC filings; our earnings press release, which includes GAAP reconciliation tables and a discussion of business activities; along with the recording of this call, are all available on Republic's website at republicservices.com. On today's call, we will provide a forward-looking non GAAP measures related to recent acquisitions and projects under development. We are unable to reconcile these estimates to relevant GAAP measures without unreasonable efforts because purchase accounting adjustments are not complete, and the timing of development projects can vary. I want to remind you that our public management team routinely participates in investor conferences. When these events are scheduled, the dates, times, and presentations are posted on our website. With that, I'd like to turn the call over to Jon.
Jon Vander Ark: Thanks Stacey. Good afternoon everyone and thank you for joining us. We had a strong start to the year which keeps us well-positioned to achieve our full year goals. The outcomes we're delivering reflect our focus on profitably growing, the recycling and solid waste business and expanding our environmental solutions business, so we can offer the most complete set of products and services to our customers. The investments we're making in the business are taking hold and creating undeniable value, while further strengthening our three differentiated capabilities of customer zeal, digital, and sustainability. During the first quarter, we delivered revenue growth a 14%, generated adjusted earnings per share of $1.14, which is a 23% increase over the prior year and produced $531 million of adjusted free cash flow, which is a 14% increase over the prior year. We continue to believe that investing in acquisitions is the best use of free cash flow to create long-term value. Earlier this week, we closed the acquisition of US Ecology. This acquisition propels Republic into a leading position in the environmental solutions and adds a platform of high quality assets. We have customer overlap between our $1.5 billion manufacturing vertical and US Ecology's $1 billion book of business. We estimate our cross selling opportunity at $75 million to $100 million. We're excited to welcome US Ecology employees to the Republic team and will benefit from their deep expertise in specialty waste handling. We also invested $66 million in other acquisitions during the quarter. We also have approximately $400 million of deals in the advanced stages of closing, all of which are in the traditional recycling and solid waste space. In addition to investing in acquisitions, we returned $349 million to our shareholders, this includes $203 million in share repurchases and $146 million in dividends. We are experiencing meaningful traction developing our differentiated capabilities where actions are leading to outcomes. Our aspiration is to live in a world-class customer experience which we call Customer Zeal. Our customer retention rate remains at a record setting level of 95%. This has enabled us to generate the highest level of pricing retention and company history and generate outsized revenue growth throughout the business. During the first quarter, core price reached an all-time high of 6%, and average yield increased to 4.2%. Volumes increased 3.6% compared to the prior year and acquisitions contributed an incremental 390 basis points to total revenue growth. Regarding digital, we completed the rollout of RISE tablets in our small and large container fleet. We continue to see tangible benefits of this proprietary technology for our customers and within our operation. We will begin deploying tablets in the residential fleet later this month and expect to be complete by mid-2023. We recently went live with the finance and procurement modules of our new ERP system, which will streamline back office activities and empower local leaders with enhanced data. Next, turning to sustainability. We continue to believe that environmental sustainability and economic sustainability go hand-in-hand. We are passionate about doing things that are good for the future generations in a way that generates profitable growth for our business. In March, the company announced our plans to expand our participation in the plastics value chain with a nation's first integrated plastics recycling facility. The Republic Services Polymer Center will address the growing demand for recycled plastics, while enabling CPG brands to meet their sustainability goals. Based in Las Vegas, this will be the first of three to five centers nationwide, and is scheduled to open in late 2023. We expect this polymer center will generate an incremental $50 million of revenue with an EBITDA margin at or above total company performance. Earlier today, we announced our joint venture with Archaea to develop 39 renewable natural gas projects that are landfills. These projects generate attractive returns and accelerate achievement of our ambitious 2030 sustainability goal of increasing biogas for beneficial reuse by 50%. The projects are expected to come online between 2023 and 2027, at which point approximately 70% of our total landfill gas collected will be beneficially reused. This joint venture together with our 17 landfill gas to energy projects under development are expected to generate approximately $100 million of incremental EBITA. We continue to be recognized for our commitment to sustainability, Republic Services was named a Barron's 100 Most Sustainable Companies list for the fourth time. I will now turn the call over to Brian.
Brian DelGhiaccio: Thanks Jon. Core price during the first quarter was 6%, which included open market pricing of 7.6% and restricted pricing of three and a half percent. The components of core price included small container of 9% large container of 6.8% and residential of 5.3%. Average yield on total revenue was 4.2%, which represents an increase of 80 basis points when compared to our fourth quarter performance. Average yield unrelated revenue with 4.5%. The outperformance and average yield is a direct result of higher core price increases in the face of more persistent cost inflation, dynamically adjusting rates for new work to match demand and increase price retention which illustrates customer willingness to pay for high value services. We expect average yields remain above 4% for the remainder of the year. First quarter volume increased 3.6%. The components of volume included an increase in small container of 4.1%, an increase in large container of 4.6% and an increase in landfill of 4.7%. This level of volume performance was in line with our expectations. Moving on to recycling. Commodity prices were $201 per ton in the first quarter. This compares to $133 per ton in the prior year. Recycling processing and commodity sales contributed 40 basis points to internal growth during the first quarter. Next, turning to our Environmental Solutions business. First quarter Environmental Solutions revenue increased $64 million from the prior year. This was driven by organic growth from increased activity and the contribution from acquisitions. On a same-store basis, Environmental Solutions contributed 40 basis points to internal growth during the first quarter. Adjusted EBITDA margin for the first quarter was 30.4%. This compared to 30.7%. In the prior year, margin performance during the quarter included underlying margin expansion of 70 basis points and a 40 basis point increase from recycled commodity prices, which was offset by a 70 basis point headwind from net fuel and a 70 basis point decrease from recent acquisitions. Within the underlying business, we are seeing wage inflation of approximately 4%. price increase is more than offset this level of cost inflation before considering the impact from productivity improvements. SG&A expense excluding US Ecology deal and integration costs was 10.2% of revenue. This was flat with the prior year. Adjusted free cash flow for the quarter was $531 million and increased $67 million or 14% compared to the prior year. This was driven by EBITDA growth in the business. Capital expenditures of approximately $200 million during the first quarter represents 15% of our projected full year spend, we remain on track to spend our full year budgeted capital expenditures. Total debt was $9.6 billion and total liquidity was $2.8 billion. Our leverage ratio at the end of the quarter was 2.8 times. With respect to taxes, our combined tax rate and non-cash charges from solar investments resulted in an equivalent tax impact of 25% during the first quarter. As Jon mentioned, we closed the acquisition of us ecology earlier this week. Our initial perspective on the contribution from us ecology for the remaining eight months of the year, is as follows revenue of approximately $720 million and adjusted EBITDA of approximately $130 million, which includes $5 million of realized synergies. We also expect EPS contribution to be flat to slightly positive. As a reminder, EPS includes the impact of intangible amortization, and relatively higher interest expense, as debt associated with the acquisition is expected to be highest during the first year. Annualized, this would represent a year one contribution of $1 billion of revenue, and approximately $170 million of EBITDA, which includes $10 million of first year synergies, we still believe there at least $40 million of cost synergies that will be realized during the first three years. We intend to incorporate the contribution from US Ecology into our full year guidance in July. Once the impact of purchase accounting is better known, and other areas subject evaluation are substantially complete. With that operator, I would like to open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Tyler Brown with Raymond James. Please go ahead.
Tyler Brown: Hey, good afternoon.
Jon Vander Ark: Good afternoon Tyler.
Tyler Brown: So, the landfill gas announcement, obviously pretty exciting. I think in your sustainability report, you guys already have something like 75 projects operating today. And if my math is right, which is always scary, but I think that maybe makes up a little more than half of the municipal solid waste landfills that you collect data on. So, number one, am I closest in the right ballpark? And two, this this deal with the 17 projects in development pretty much account for the remaining landfills in your fleet with enough ways to support a project, or some of these 39 at existing -- I'm going to call them, dirt gas operations, where you're upgrading to R&D [ph]?
Jon Vander Ark: Yes, good question. So the 75, eight of those are solar projects. We put those together in our sustainability, portfolio is 67 today, right? We talked about another 17 in development, right? And then this project we announced with Archaea is another 39. Four of those projects of the 39 are basically recapping existing projects of the existing 67 I talked about, so it's mostly new and incremental. So, that kind of -- if you fast-forward to 2027, you got a few more that come become an inert, because that's the goal of the landfill, obviously, is to sunset it. So, that would take us from 67 today to 116 and 2027 with everything we're talking about.
Tyler Brown: Okay, perfect. Yes, very helpful. And then just financially, what will we kind of see what you put up the money in one big chunk? Or do you do that as we go along? And then Brian would you just recognize it as like an income in non-controlling interest? And then they'll basically pay you a dividend back? Or how exactly what the mechanics were?
Jon Vander Ark: Yes, no, we'll do it ratably investing, it's not just one big chunk, right into this joint venture. And then essentially, we get, you know, there's two forums of our return on that there's a royalty agreement, which is more typical of what we have on our typical projects, or existing projects, rather. And then we'll be in the minority equity investor in these and then Brian, you could talk about, we're going to hit the geographies.
Brian DelGhiaccio: Yes. So for the royalty similar to what we have today, Tyler, the royalty will just come through revenue, right. And you'll see that then most -- there's really no cost offsets, and most of that flows down to the EBITDA line item. And then for the portion where we've got that minority interest, that'll be a one line pickup, which will be -- again, it'll be included in our EBITDA, but it'll be separately distinguished so that you can actually see what its contribution is.
Tyler Brown: Okay, okay. That's helpful. Guys that’s very helpful. Lastly, you're just -- we were kind of perusing the US Ecology tend to look like they kind of struggled this quarter that really pinched on cost. I think EBITDA was maybe down 10% year-on-year. So, what's the kind of the confidence around turning that business around quickly? I think you gave some color around the contribution, which seems like you're kind of expecting things to get a little bit better as the year plays out. But just maybe talk about the first 100 days there, what the plan is to really kind of get that this is turned for positive momentum?
Jon Vander Ark: Yes, no, listen there first quarter was kind of right on what we had in the pro forma, right in terms of how we valued that businesses. And we're relatively conservative how we think about things. Integration begins now we had teams all over the country, welcoming our colleagues together. And frankly, it's been going on for weeks within the parameters of what we can do with DOJ and antitrust in terms of pre planning for the integration. So, we're already driving that through, we've got the four areas outlined, geographically, we've got those teams defined the leader and the Director for, right and where all the assets and divisions flow up through that. And so that includes integrating our own environmental solutions business into that. So, we took the best of best in terms of both, assets and people in terms of how those things are structured. So, we are well, on our way on that front. One of the big opportunities there is to integrate the great set of post collection assets that have with the field services, resources. And you know, COVID was kind of a trip up for them to be able to do that in a full way. And we've got the benefit of you know, not being out of COVID, but being in a very different stage of COVID. And so again, integrating those things together and, applying our considerable revenue management capabilities to that business, looking at the go-to-market approach, all those things are underway right now.
Brian DelGhiaccio: Yes, one thing I would add to just on the performance in the first quarter, Tyler, as well as that the performance got better throughout the quarter.
Tyler Brown: Okay, and just real quickly, just to clarify, Jon, I thought you said $75 million to 100 million and $100 million and synergies and Brian said $40 million -- was just cost or what--?
Brian DelGhiaccio: Yes, let me -- yes, the $40 million is just cost and like we value every deal, right? We have really understand the standalone intrinsic value of an enterprise and then right we value cost synergies, because we've got line of sight to that incremental to that $40 million, right, we see $75 million to $100 million of cross sell opportunities, right, probably realized over two and a half to three year period -- revenue, synergies, sorry. And then in addition to that, we've better than good any pricing. And we'll take a very hard look immediately, in terms of understanding that we're getting a return on all the work we do, and where there's an opportunity, especially in an inflationary environment, to make sure that we're getting our costs covered and more.
Tyler Brown: Right, right. Okay, great. I'll pass it on. Thanks.
Operator: The next question comes from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks so much. You mentioned the 4% wage inflation and that seemed really good for this environment and what we've heard from others. Can you give any color on maybe how you've been able to limit wage inflation if you've had any strategies around that et cetera?
Jon Vander Ark: Yes, I would say the seeds that were sown many years ago, right, we think about being a place where the best people come to work and making sure that our people get a fair increase every year. So even in very low inflationary environments, where CPI was running sub 1%, we always gave our people, a 2% to 3% increase in their wages, and the added benefits probably north of that. And so I would say, very fit and healthy cost structure coming in to this inflationary environment. And then we're very disciplined and surgical, we believe in market pay. And so we understand market pay and market dynamics, right across all the 800 dots on our map of where we operate. And so we've made individual indelible across the board kind of ratable cost of living increases every year. And then we go in and do additional moves, where we need to make sure that we're staying very competitive in the market. And we're still going through that, right. That's an ongoing process, ongoing science. And we believe in the local team. We also believe in the discipline and the expertise of our HR team. And we'll be able to do a centralized review, that we're doing things in a smart way. And I think you'll see us do some more of that in the third and fourth quarter here. All of which will result in a scale pricing ahead of our cost inflation of better productivity, which will allow us to expand our margins.
Toni Kaplan: That sounds great. I wanted to ask also on the renewable energy side, just given the really strong increase in gasoline and diesel prices, has that changed your approach to renewable energy projects? Has it caused any thoughts about pulling forward investments in new facilities or more alternative fuel vehicles? Thanks.
Jon Vander Ark: Yes, one of the reasons we're really excited about this joint venture as we think it allows us to get after a portfolio of landfills, right that we bid this out, and in a very competitive process, and really excited about our partner, but that we take on all of those projects, and those projects of varying returns. And some of those things, probably we wouldn't have independently gone after in a standalone basis, just given the size and scale. So, we're able to go deeper into our fleet of landfills with projects, which is exciting, we're also able to go faster, right, we can get after all 39 of these and the next, in addition to the 18 that we have in flight, or something we haven't flight, we feel really excited to be able to go after that opportunity that quickly because of that market. As it relates to fleet, we are long on electrification, about 20% of our fleet is CNG and we certainly have that as part of the portfolio. But all of our energy going forward is on electric vehicles.
Toni Kaplan: Perfect. Thank you.
Operator: The next question comes from Michael Hoffman with Stifel. Please go ahead.
Michael Hoffman: Hi. Thank you. And I also want to thank you for the very kind gesture you did a few weeks ago. I appreciate it. The 4% wage inflation, how does that translate into internal cost of inflation -- total internal cost inflation?
Brian DelGhiaccio: Relatively consistent, Michael, when you take a look -- I mean, I think just to put it into perspective, I talked about expansion in the underlying business of 70 basis points, I think you take that 4% cost inflation and compare that to that yield unrelated revenue, which is four and a half, and then you get, 10, 20 basis points of productivity, that is the expansion that we're seeing in the quarter.
Michael Hoffman: Okay. You anticipated part B of that. But I will ask you to RISE is fully rolled out in small and large container? Does it take that rate of productivity improvement and walk it up now, because you have it more comprehensively distributed? And then this is all about taking minutes out and lowering engine hours and the like?
Jon Vander Ark: Yes, listen, when you first put it in, right you there's a little learning curve, and then you get your biggest wave of productivity improvement, right? When you can start to standardize the work and get the routing efficiently. And then in those existing sites, you just start to see incremental improvement over time. We're really happy about our productivity number this quarter. Given that we had a lot of the headwinds of traffic coming back, right people coming back to work society opening up and still be able to overcome that and still see some productivity is a great signal to us or indicator of what RISE is delivering was a we'll see this more in the residential fleet. And then as we go forward, there's a kind of a 2.0 of RISE of starting to get more into advanced analytics. How do we even take the analysts and build those routes more scientifically? How do we start to do more benchmarking across geographies, to understand what the true performance improvement opportunities are? And yes, I think you'll see steady radical improvement as we go forward.
Brian DelGhiaccio: And we the way we're looking at it right now, Michael, is that we probably have more opportunity left than we realized life-to-date.
Michael Hoffman: Got it. And then last one on the landfill gas to energy development, you're putting up 27% of the capital? I'm assuming you control the gas and these other guys need the gas, they can't do what they want to do, even if they got a lot of money. So, what's the economic split?
Brian DelGhiaccio: For that investment, we have a 40% ownership in the JV.
Michael Hoffman: Okay, and Jon, you've talked about that $100 million number over and over again, consistently, but it now looks like the whole thing is a lot bigger. Because I thought the $100 million related to your 17, you were developing, and now it were, or is this an incremental $100 million plus or $100 million for the 17?
Jon Vander Ark: No, this is $100 million total, Michael. So again, that -- the 17 was, call it about $25 million incremental. And then this new JV call it $75 million, for a total of $100 million for all 56 projects that are under development.
Michael Hoffman: Okay.
Jon Vander Ark: Hey, keep in mind, Michael, these are -- we're into medium sized sites. So these are kind of, , sub 2,000 SCFM sites. And what we'll see over time is kind of randomly going through some of the legacy projects we have on bigger sites, they'll reach their natural end of -- the project needs to be recapped. Many times, it'll be electricity project that will take into RNG and then those will be bigger sites that will go into this joint venture.
Michael Hoffman: Got it, All right. Thank you.
Operator: The next question comes from Hamzah Mazari with Jefferies. Please go ahead.
Unidentified Analyst: Hi, this is Han [indiscernible] filling in for Hamza. So my first question is, could you just comment on the quarterly cadence of operating leverage and margin this year? And then just what your labor turnover is running versus pre-pandemic?
Brian DelGhiaccio: Yes, let me take that, you know, the margin question here. So, again, if you take a look at the first quarter, and how we performed, what we see going forward, and we're on a sequential basis is that the fuel really started increasing in March, right now, we're kind of saying it's going to stay elevated. That's the assumption right now for the rest of the year. So sequentially, we see a 30 basis point headwind, from the impact of fuel. Now, we're also seeing better level of pricing. So we think that we can mostly offset that. But that margin would stay relatively flat, if you will, from our q1 performance, that's on the traditional recycling and solid waste space. If you then layer in the, you know, the US Ecology acquisition, that's going to create about a 70 basis point impact margin for the remainder of the year.
Jon Vander Ark: Labor -- in terms of labor turnover, but it's a little bit of a mixed picture, right, slightly elevated to pre-pandemic levels and some roles, certainly down and other roles. I'd say, look for the labor market remains tight, right? And that we would hire some more drivers, for sure, if we could get them and so back to running the business for the quarter of the year running it for the long-term. So, we're looking at all the markets and seeing where we have any elevated turnover understanding, right? If we need to put a little more wage into those markets, we will now wage is not always the answer as part of why people work. It's not all the reason why, it can be shift schedule, it can be their leader can be lots of things. So, we're very mindful of that. But again, we feel like we've got certainly a very good handle on inflation relative to pricing and our ability to cover our costs.
Unidentified Analyst: Okay, and then just, on the hazardous waste exposure, can you just talk about what that level of exposure is compared to what your portfolio is right now? And how big it could get, understanding of the solid waste portfolio will also grow? And then just, you know, if you could touch on the cyclicality of that hazardous waste business?
Jon Vander Ark: Well, I'd say hazardous, we didn't have any exposure. Technically, I think your question more broadly is environmental solutions versus recycling and solid waste. Right now, we got about a $400 million business in that space with the acquisition of US Ecology fast forward, that takes us to about $1.4 billion opportunity in that space. With a we think when the integrating field services and the post collection side of that it's got a relatively similar profile in terms of volatility in that space, and that there's a mix of project based work and a mix of recurring revenue, probably slightly higher, but when you mix the two parts of the business together, right doesn't meaningfully change our profile any respect. And in terms of growth prospects, we start with recycling and solid waste. We've never been more excited about our growth, growth prospects. They're both organically and through M&A. In addition, this platform with US Ecology gives us great geographic coverage and an opportunity to do follow-on tuck-in acquisitions to build out some product and service lines or to fill out a few smaller geographies.
Unidentified Analyst: Got it. Thank you.
Operator: The next question comes from Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich: Good afternoon, everyone.
Jon Vander Ark: Hi, Jerry.
Brian DelGhiaccio: Hi, Jerry
Jerry Revich: Hi. I'm wondering, if you could just talk about on US Ecology, look, maybe it's too soon, but what's the nature of their landfill agreements? How quickly can you apply RSG's pricing mechanism to the landfill part of the business based on the contract structure? Is that something you're comfortable discussing on this call?
Jon Vander Ark: Yeah. Look, we are very well-run assets. So we start with compliance, right? Great compliance, a great set of assets, right, that are well maintained, great compliance culture, great compliance capability and technical capability that we've acquired with US Ecology. So we're really excited about that and that really is the foundation, right? That allows us to go to customers and offer them solutions that they're comfortable with that we – because they have producer liability, right? So we will maintain right, their waste streams in a way that is very compliant that they feel good about, that doesn't create liability for our customers that allows us then to price for the value that we're delivering to our customers. So we'll take a hard look at that. Again, we start with not the asset. We start with the customers, and we work our way back into the assets. And that begins right away, and it's a mix of contracted business in spot. And obviously, the spot, we can look at very quickly. The contractor side of that will take a little more time. But over time, you'll see, I think, steady improvement in that area.
Jerry Revich: Okay. And then on the RNG contracts, the $100 million assumption can you just touch on what that assumes in terms of gas price per MMBTU? And would you mind just commenting on if you have any off-take agreements at this point or how you're thinking about the opportunity set?
Jon Vander Ark: Yeah, the JV just got announced, right? And we haven't developed the project yet. So we don't have any agreements. But I can give you some of the assumptions, right? We've got pretty conservative assumptions about gas flow, which we think we could probably beat over time. This assumes a $2 Brent price. It will be a mix of fixed versus spot, probably more fixed than spot over time, but we'll decide what that looks like together.
Jerry Revich: Okay. Super. And lastly, can you talk about how you expect the pricing cadence to play out over the course of the second quarter based on actions that you've announced to customers? And if you can touch on, when you expect inflation to peak if you have that type of visibility?
Brian DelGhiaccio: Yeah. Jerry, as I mentioned in my comments, we expect average yield to remain above 4%. Again, if you can take a look at the restricted portion of the business where we have those index-based price resets, 60% of our portfolio resets in the second half of the year. So if you can look for relatively consistent performance throughout the year, but I would sit there and say probably slightly higher in the second half than we saw in the first half.
Jon Vander Ark: Terrific. Thanks.
Brian DelGhiaccio: You bet.
Operator: The next question comes from Kevin Chiang with CIBC. Please go ahead.
Kevin Chiang: Hi, there. Thanks for taking my question. If I look at your average yield to core price, I guess, conversion rate, I know that's not a great way to look at it. But that's been trending up nicely. You hit 70% in the first quarter here. And I think in your prepared remarks, you mentioned retention at 95%. Does that suggest this is close to an upper bound of that conversion rate? Or are there are there things you can do to continue to narrow that gap?
Jon Vander Ark: There's certainly things we can do to improve it, which is just when we talk about our strategy around customer zeal and digital and sustainability, those are all things our customers value deeply, and we think are differentiated. And not every provider can offer that. And as we create a better offering, right, our customers are willing to pay more and stay longer. So that's the essence of what we do. Now there is a structural – there are things like people move, right, or businesses close. So there's things structurally, right, that I don't think we'll ever get to 100% loyalty. But at one point, we were sub 90% and then we got to 92%, and then we kept climbing the curve, and that's the aspiration to continue to get a little bit better because the offering is that much stronger. And as you know, the economics of loyalty in this industry are very, very strong. When customers stay longer, that's certainly very valuable for us.
Brian DelGhiaccio: Yeah. And there's two components to that calculation. There's retaining more but there's also pricing at a higher level for new business, right? Both of those go into the equation. So as we expand the environmental solutions business, as we have the most complete set of products and offerings. We think that we offer to our customers we have a better value proposition, and we can then charge more for those services from a new business perspective.
Kevin Chiang: Right. No, that makes sense. You're obviously seeing great momentum there. Just my second question, I think you mentioned earlier you're all in or at least you're focused on electric vehicles here. And I'm just wondering as a buyer of that technology, what do you think the bottleneck right now is for mass adoption? And I guess when you're evaluating what's in front of you, like what are the KPIs that matter the most? Is it just things like battery density? Or do things like supply chain resiliency given all that's happened in the past 9 months, like does that play a greater role? Or would you prefer a vendor that, for example, had vertically integrated their battery technology so that they're not dependent on somebody else, which creates execution risk on your orders? Just wondering how you kind of look at that evolution here.
Jon Vander Ark: Yeah. Well, good question. Both are relevant. Certainly, functionality, right, and the bottlenecks of weight and range, right? But for us, the operative metric is a truck has got to be able to deliver a full route in a day, right, without having a mid-day charge. That kind of creates the economics of it because whatever benefit you get, you burn up on productivity on a midday charge. And again, we feel very optimistic about where we're headed on that front. Of late, we are working really hard on some short-term exemptions with state and local municipalities. Again, I've already made some progress on that front as well, and I don't think that will be a hurdle or a barrier. We're very mindful of the supply chain with our partners to understand that, hey, what's our confidence in them being able to deliver this over time and obviously, the world has changed a lot in the last, not only two years, but the last 71 days. So we're cognizant of that and certainly baked that into our plans, but still all that being said, optimistic about the progress of starting to buy electric vehicles at scale within the next two and half, three years.
Kevin Chiang: Perfect. That's it for me. Thank you for taking my questions.
Operator: The next question comes from Sean Eastman with KeyBanc Capital Markets. Please go ahead.
Sean Eastman: Hi, guys. Nice start to the year here. Would it be possible to drop the US Ecology outlook commentary to free cash flow both for this year and on an annualized basis?
Brian DelGhiaccio: Yeah. Look, in these first couple of years, let's just take this year for example, we're thinking conversion in call it, the 20% range. And again, there's some elevated capital spending in particular with the landfill. We're building out landfill disposal capacity, which takes us into 2022 and 2023 that then modulates. And as we've talked about before, we still see 47% conversion as a consolidated company by 2024.
Sean Eastman: Okay. Got it, helpful. And maybe putting US Ecology aside, and just looking at stand-alone RSG, could you refresh any of the components of the year-over-year margin bridge for the full year? We had the $60 million to $70 million from pricing ahead of inflation. I think we had $50 million from normalizing incentive comp, and then that was offset by 40 basis points from net fuel and 40 basis points from acquisitions. Is there anything in that bridge you'd be able to refresh for us here?
Brian DelGhiaccio: Yeah. What I would probably say is that, the big things that change relative to our initial assumption is that fuel at current prices creates an additional 50 basis point headwind and think about pricing in excess of cost inflation offsetting that outside of US Ecology. So, relatively consistent expectation for the full year, just getting there a slightly different way.
Sean Eastman: Okay. Got it. Very helpful. Thanks.
Operator: The next question comes from Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Thanks very much. I want to ask about some of the volume trends in the quarter. I know that the comps weren't too tough, but you did outperform, I think, relative to the industry. So I wonder if you could touch on what you're seeing in the markets. What are net new business trends? What are you seeing in terms of business formation? Where might have actually surprised a little bit to the upside on volumes in the quarter? And I guess the last part of that is, how much of this is really just being in the right markets? And how much of it is potentially attributable to share gains?
Jon Vander Ark: Yes. Look, I think you're still -- you're seeing this company of the country rather open up kind of post-COVID. And some of that we saw last summer, but some we didn't, I think, I mentioned this before California, right didn't really open up, because they were thinking about opening up the, Omicron variant have hit them, right. And we didn't see quite the lift -- see the lift, we do there. So you're certainly seeing some of that comeback. And that is, we're benefiting from our geographic footprint on that, including where our population is growing, right, our Sun Belt exposure helps, as you see people going into Texas, in Arizona and other places that at large volumes. And then listen to all of our investments into customer zeal and digital right are showing up in terms of organic growth. And that we’re winning on the street. I think it's very tough to compete right now in a challenge labor environment. I think, there's some people on equipment challenges, right, given supply chain shortages. And we feel very good about our equipment deliveries, feel good about our team, but it is a tight labor market. So we would take more drivers if we could this place, but feel pretty good about how we're being able to sell them service customers.
Noah Kaye: Yes. Now that leads into my next question, which is on the M&A front, you mentioned, and they wanted to get last year, the $400 million of short-term potential pipeline. But what do you think about the current challenging operating environment in terms of its impact on M&A? We certainly seen some pretty healthy activities started the year. But how do you see that potentially affecting the pace and the pipeline of the M&A opportunity? Yeah, I think it remains strong. And we remain very encouraged about our outlook in that space. And as I think a number of things have helped us and probably helped the industry in the last three years, right. First, you had the fear around tax reform, and that driving some selling activity. You had COVID, and that making it a very challenging environment. And now you got an inflationary environment with a constrained labor market, where it's just getting tougher to compete, right? Add to that all the digital investments we're making at a scale that's very tough for other people to replicate, that are providing a better product to our customers. And I think that drives the opportunity for us to not only grow organically, but also have a very attractive M&A pipeline going forward.
Noah Kaye: Great, thanks. Nice quarter.
Jon Vander Ark: Thank you.
Brian DelGhiaccio : Thanks.
Operator: The next question comes from Mike Calleja with Bank of America. Please go ahead.
Mike Calleja : Hey, everyone. Thanks for taking my question. Brian, I think you mentioned Ecology, I think it's 70 bps dilutive to margins for this year. How do we think about your margins now, as you guys integrate Ecology, especially this year? And in context of your 31%, 32% target getting back there, is pushing out a year? How can we kind of think about it with the integration now this business?
Brian DelGhiaccio : Yes. So Mike, we're going to sit there and we are going to separate when we think about reporting, we're going to separate the environmental solutions space into its own segment. So as we think about the recycling and solid waste space, we have direct line of sight to that 32% margin. But this is structurally that the business is different on the environmental solution space, but we think there's opportunity. And so this is something where we'll take longer to get there on a consolidated company basis, sure. But we look at continual improvement, not only the realization of the synergies, the cost synergies, but as Jon mentioned, we didn't include any of the revenue synergies, whether it be any additional price into that performance. So, again, you'll be able to see the case, and we'll talk about our expertise [Technical Difficulty] as we provide annual guidance.
Mike Calleja : Perfect. That's helpful. And then just lastly, Brian, I think, eco reported $150 million of EBITDA in 2021. So the $130 million of EBITDA over the eight months, what level of organic growth are we assuming and the margins look like it's a little higher than last year? I might not be comparing apples-to-apples there. So any calls you can address on that pick up? And just lastly, I know I think Jerry asked earlier. I'm just curious, like, how does pricing work on this business? We know the restrictive and the CPI in the open market. And on the solid waste side curiously, if you can add color on, on how that kind of plays out on that environmental services book. Thanks, guys.
Brian DelGhiaccio : Yes. So let me talk a little bit about the EBITDA. So again, there's seasonality in the business. So let's talk about what we're expecting for a full first year contribution on an equivalent. So before any synergies, we would sit there and say, we were expecting about $160 million worth of EBITDA that would compare to the 150 odd million that you were referring to. So that would be the year-over-year growth. We then layered in again, a full year would be about $10 million of first year synergies. What that means for the eight months based on the acquisition date, that's what translates into that $130 million of EBITDA, which includes $5 million worth of real life synergies.
Jon Vander Ark : And then, Mike on pricing, I think the best analog is think about the solid waste and recycling space. So you think about the post collection assets of U.S. Ecology and special waste, right? Those are event based deals, and special waste has some recurring streams. And it has some event based streams, if you're only in post collections, right? You're a taker in both of those, and you're typically giving more spot based pricing, sometimes more continuous streams are contracted, but contracted typically for shorter periods of time. And then the generator or the collector of those streams bids that out. The opportunity here is to integrate into field services, right, they have the assets, but driving that full integration, which allows you then to drive pricing from the customer, which drives more longer contracted and more consistency in the price, right, reduces the volatility of that demand. And so that is the focus right understanding generators of consistent streams of specialty waste, hazardous handling, and being able to supply them, right, and integrating that, right, into the landfills. And overtime again we saw this over a decade and a half. And it's always recycling space. That's how pricing power emanated is integrating those two things and not thinking about those two things as separate.
Operator: [Operator Instructions] The next question comes from Stephanie Yee with JPMorgan. Please go ahead.
Stephanie Yee: Hi, good afternoon. I wanted to ask how the team came up with the $75 to $100 million of cross-selling opportunity. Specifically, is that kind of a realistic estimate, or is there conservatism in that number?
Jon Vander Ark: Yes. So it was certainly bottom up. It wasn't a top down one. And we're in this space, right? We've been in big -- pretty big footprint in the Gulf Coast now for few years. Last year, we acquired ACB, which gave us a footprint in the Northeast and the Mid-Atlantic. And so we're seeing it, right, we've already gone to market together. And we're seeing opportunities to serve customers, because we now have the broadest set of environmental services, products and services. And so customers -- bigger customers value that one stop shop offering, they want fewer suppliers in their facility, they like the assurance of what we can do with those materials. So we're seeing that winning in that space. We think we're used to ecology. Now you just have much bigger patch of land, right? We've got about a billion and a half manufacturing business. They're about a billion in revenue, right. And we lay that across in terms of number of customers and take a fairly conservative estimate in terms of the types of penetration we can get across that. That's how we came up with 75 million to 100 million.
Brian DelGhiaccio: And as Jon mentioned, the proof points have been there with the acquisitions that we've already done in our existing business to be able to see that that cross-sell opportunity is real.
Stephanie Yee: Okay. That's helpful. And if I can ask, now that you closed on the acquisition, do you feel comfortable talking about whether you would consider divesting any parts of U.S. ecologies business? Or whether that's even part of the consideration that you're evaluating down the line?
Jon Vander Ark: Sure, yes. There's a smaller international business, and they have a standby business. Both are good businesses. I think the question is, are we the national owners of those assets? So we'll start with international and put that under our view and understand, hey, how integrated is that? Whatever else we do and give it, get it, we're not an international player, right? We're North American player. We'll take a hard look there and the and the next level of I have to stay and -- again, we always start with a customer, what's the customer interaction and overlap and then we go into assets in terms of what we share in facilities, right, and then we'll get into the ability to disintegrate that sometimes it's something so tightly connected, right? It's tough to divest of that. But if it's unrelated on the customer side of the assets I typically answer is it's easier to devise that so we'll put both of those under review in that sequence and while we'll update you accordingly.
Stephanie Yee: Okay, okay, great. Thank you.
Operator: At this time, there appear to be no further questions. Mr. Vander Ark, I'll turn the call back over to you for closing remarks.
Jon Vander Ark: Thank you, Betsy. In closing, we are proud of our first quarter performance, which demonstrates the value our strategic investments are creating. We continue to manage the business to create long-term value for all stakeholders. I would like to thank all our employees for their continued hard work and commitment to partnering with customers to create a more sustainable world. We look forward to seeing everyone at Waste Expo next week, as we proudly recognize our four drivers of the year and celebrate Don Slager's well-deserved induction into the NWRA Hall of Fame. Have a good evening and be safe.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for attending. You may now disconnect.